Operator: Ladies and gentlemen, please stand by. We are about to begin. Good day, everyone. And welcome to the Eastman Chemical Company fourth quarter earnings conference call. Today’s conference is being recorded. This call is being broadcast live from the Eastman’s Web site at www.eastman.com. We will now turn the call over to Mr. Greg Riddle of Eastman Chemical Company Investor Relations. Mr. Riddle, please go ahead, sir.
Greg Riddle: Okay. Thank you, Rufus. And good morning everyone and thank you for joining us. On the call with me today are Brian Ferguson, Chairman and CEO; Jim Rogers, President and Chemicals & Fibers Business Group Head; Curt Espeland, Senior Vice President and CFO; and, Marie Wilson, Manager of Investor Relations. Before we begin I’ll cover two items. First, during this call you will hear certain forward-looking statements concerning our plans and expectations for first quarter and full year 2009. Actual results could differ materially from our plans and expectations. Certain factors related to future expectations are or will be detailed in the company’s fourth quarter and full year 2008 financial results news release on our Web site and in our filings with the Securities and Exchange Commission, including the Form 10-Q filed for third quarter 2008 and the Form 10-K to be filed for full year 2008. Second, except when otherwise indicated, all financial measures referenced in the call and in the slides accompanying the call will be non-GAAP financial measures, such as sales revenue, operating earnings, and earnings per share that exclude restructuring related and other items. Our reconciliation to the most directly comparable GAAP financial measure and other associated disclosures, including a description of the restructuring related and other items, are available in our fourth quarter and full year 2008 financial results news release and the tables accompanying the news release. With that I’ll turn the call over to Brian.
Brian Ferguson: Hi. Good morning, everyone. And thanks for joining us. I think we all know these are very unusual circumstances. Were reporting on different kinds of data than we normally do. So for the first time in my memory, we are going to use some slides to improve our communication to make sure we get the data to you. And the slides will turn automatically as we go through the session here. Or you have the choice of using the PDF file and flipping through them yourself. I’ll start by walking through fourth quarter and full year 2008 results, and then Curt will discuss our strong financial position. And I’ll conclude with some comments on corporate strategy. Now starting with our fourth quarter, everyone knows the world changed pretty dramatically beginning in November when demand dropped as rapidly as I’ve ever seen it. As a result, our sales volume declined by 17% year-over-year. And this was throughout the company. The lower sales volume led to lower capacity utilization, which averaged 66% in the fourth quarter and was down as low as 50% in December. December was the lowest capacity utilization month in my 31-year memory with this company, certainly not something that was expected. With capacity utilization at these levels our cost per unit increased and the lower priced raw materials did not flow through our system because we were not buying enough of them due to the very low demand and the end of year inventory reductions. One other item in the quarter were losses in the settlement of commodity hedges that were over $60 million. The combination of all these factors led to the decline in EPS that we reported. Looking at full year results, prior to demand dropping significantly in Q4, we were on track for another strong year. Through nine months, our revenue, operating earnings, and EPS were all higher compared to the first nine months of 2007. So the decline in full year earning and EPS is entirely due to the fourth quarter results that I just discussed. Turning next to the segments beginning with fibers, fibers’ fourth quarter revenue declined slightly as lower sales volume was partially offset by higher selling prices. The lower volume was in acetate yarn and acetyl chemicals, both due to the global recession. The higher selling prices were primarily in acetate tow to offset higher raw material costs. Operating earnings declined mainly due to the lower acetate yarn and acetyl chemical volumes. And looking at the full year, our operating earnings were flat even with decline in the fourth quarter. Demonstrating once again the strength and resiliency of this business. Looking at 2009, we expect another solid year as our acetate tow facility should continue to run full and perform well financially. Next on our coatings, adhesives, specialty polymers and inks, referred to as CASPI, you’ll recall that through three quarters, they were partially offsetting volume weakness in North America with solid growth outside the US. In the fourth quarter, weak demand spread to all regions, and therefore, volumes decline was greater. Operating earnings declined both in the fourth quarter and for the full year due to lower volumes and higher raw material costs, which more than offset higher selling prices. Looking at 2009, we expect demand weakness to continue. We also expect raw material costs to continue to be volatile. But our specialty businesses should continue to hold up reasonably well. And we see CASPI holding up reasonably well as the segment for this year. Moving to PCI, revenue declined primarily due to lower volume mostly in olefin derivatives. During the quarter, our olefin stream ran at just below 60% capacity utilization rates and was below 40% in December. Operating results declined in the fourth quarter for three reasons. First, the lower utilization rates caused cost per unit to increase. Second, prices declined due to lower raw material prices. For example, propane declined by about 60% during the quarter, which dragged derivative prices with it. But the lower raw material costs were not pulled through our system due to the low capacity utilization rates. And third, we had losses from the settlement of hedges. These were for propane and natural gas, which both dropped at unprecedented rates during the quarter. Looking at 2008, through nine months, revenue and operating earnings were up versus 2007. So the full year operating earnings decline was due to the fourth quarter results. Looking at 2009, I would first point out that PCI had full year operating earnings of just $13 million in 2001 and $7 million in 2002, which was our last recession. In every scenario, we see today the performance chemicals and intermediates group should meaningfully surpass that despite the fact that the current economic environment is much worse than in early 2001 and 2002. Specialty plastics is next, and their fourth quarter story is also about a decline in demand. Packaging, durables and consumable volumes were all down due to the recession impacting copolyesters. For cellulose esters, the LCD demand dropped off considerably in the fourth quarter as customers stopped ordering altogether late in the quarter. Operating results in the quarter declined due to lower volumes and the impact of lower capacity utilization. The polyester stream had an operating rate in the mid-60s during the quarter, and was below 50% in December. Looking at the full year, operating earnings declined due to fourth quarter results and the volatility of raw material prices throughout the year, particularly paraxylene, negatively impacting margins in this specialty business. Looking at 2009, the key to the specialty plastics improvement is increased demand. But for January, demand has not changed much from fourth quarter levels. Last up is performance polymers, and before I talk about what was a tough fourth quarter for them, I want to remind you that through nine months they had improved their operating earnings by almost $50 million. So we were on track to improve this business. However, in the fourth quarter, things changed externally, which negatively impact their results. Operating results declined for three primary reasons. The first, volumes declined both for PET and for our entire polyester stream. In the second half of 2008 the industry PET demand actually had a negative growth of 2% to 3%. And for a business that traditionally grows above 5% annually, this is a very big change. Second, the decline in volume led to lower capacity utilization, which led to higher unit costs. And this was on top of the planned de-bottleneck of the IntegRex facility. And third, the dramatic decline of paraxylene hurt margins in August. Paraxylene was at an all time high, and then in the fourth quarter alone it dropped by over 30% dragging prices with it. In addition, because of the low utilization, we are not seeing the flow through of the lower paraxylene costs. Naturally, we’re disappointed with the results and we likely will see continued weak PET demand in the first quarter along with high costs of paraxylene continuing to flow through our system. But I’m convinced when demand returns to a more steady state level above where it is today, the actions we’ve taken in this business will position us to improve significantly. Now onto our outlook for the first quarter of 2009. First, there is very little visibility into demand at this time. And this is all the way through our value chains. We can only see a few weeks ahead and we are not seeing the normal order patterns. People are just ordering month-to-month on what they need. What we do see is that volume remains weak, although it has been improving month-to-month. In December our capacity utilization bottomed at approximately 50%, which as I’ve said earlier, is an historic low for us. In January, it looks like our utilization will be at the low 60s and it should improve as the quarter goes on. As a result we expect our first quarter utilization will average above 70%, slightly better than the fourth quarter average of 66%. We therefore expect our first quarter earnings per share to be slightly above first quarter – or fourth quarter earnings. At this time, there isn’t enough visibility into what demand will be for the year to give you a full year outlook. But we will revisit this when the path of the recovery is more apparent to us. One other point, this lack of visibility and the general market volatility is the reason we postponed our Investor Day scheduled for February 10. We thought it did not make sense for us to talk about our long term strategy and how we are implementing it with the current lack of visibility. The significant drop in demand started just a few months ago in November. So we need some time to see where this mess all goes. And as a result, we have postponed until the fall, and we look forward to hosting you then. With that, I’ll turn it over to Curt. He’ll speak about our solid financial position.
Curt Espeland: Good morning, everyone, and thank you, Brian. We all agree that these are unprecedented economic conditions and that fourth quarter was extremely challenging. As events unfolded during the quarter, we made an operating decision to manage our cash flow and reduce operating costs. I am pleased with all the – how the men and women of Eastman responded immediately to the challenge. These actions improved an already solid financial foundation that will sustain us even through an extended period of weak demand. So in addition to discussing our fourth quarter results and our full year financial position, I’m going to spend a few minutes talking about our financial discipline over the last several years and how that has situated with us a healthy capital structure, a strong balance sheet, and fundamentals that are indicative of a strong BBB credit rating, an attractive debt profile and liquidity position, and a flexible cost structure and cost actions that are aligned with business conditions. Eastman is well funded and has the advantage of being able to continue to invest in a few very attractive growth options. Just to wrap up the discussion our fourth quarter results, as I mentioned, we shifted our operating principles to cash generation during the quarter. Even with the sharp decline in demand, we significantly drew down inventory levels as well as reduced receivables. As a result we reduced working capital by $190 million. This, combined with our other operating activities, enabled us to generate strong cash from operations of $360 million in the quarter. We generated $124 million of positive free cash flow in the fourth quarter. And at the end of the year, our net was less than $1.1 billion, underscoring our solid financial position. I want to hit one other item which is our tax rate. Our effective tax rate for the year, on a continuing operations basis and excluding items was 27%. Looking just at the fourth quarter our tax rate was impacted by research and development tax credit that we were able to take based on legislation enacted in October, lower overall pre-tax earnings, and a favorable mix of earnings in the different tax jurisdictions. Looking at 2009 we expect our full year rate on a continuing basis to be between 30% and 33%. Our focus on financial discipline throughout the company has put Eastman in a great position to weather an economic downturn. Our cash from operating activities has been steady. Over the past four years, we’ve generated, on average, about $700 million of cash from operations. In 2008, we generated $653 million of cash from operations, which given the economic environment, is a solid year. For the year, working capital increased slightly as reductions in payables and increases in inventories were largely offset by a decline in receivables. Net debt to total cap remains in a good place at 41%. We finished 2008 with net debt under $1.1 billion. It is up slightly versus 2007, due primarily to share repurchase of over approximately $500 million during the year. And our stockholders’ equity declined slightly at year end, but remains in a solid place. The decline was due to the share repurchases and the impact of a decline in our pension assets. So we start 2009 with a great balance sheet. In addition, Eastman has an attractive debt profile and liquidity position. There is no significant debt coming due until 2012. We have attractive interest rates on our borrowings. Our net interest expense was $70 million in 2008. Slightly higher than 2009 due to lower interest income on lower invested cash balances. For 2009, we expect a net – we expect net interest expense to increase slightly compared with 2008 for the same reasons. We have a committed and un-drawn $700 million revolver with substantially all of it available well into 2013. And our cash and cash equivalents at year end 2008 were $387 million. We are in a very strong position from a liquidity standpoint. Since the last recession, we have taken many actions to restore our financial condition and shore up our underlying business strategies. We have either divested or shut down a total of 30 manufacturing sites, representing over $2.5 billion in revenue. These actions reduced our exposure to the ethylene cycle and strengthened our CASPI and PCI segments. Our current portfolio of businesses provides a healthy platform to generate sustainable cash flows. During the same time period we reduced our employee headcount by more than 33% from 16,500 to less than 10,500 going into 2009. We have implemented productivity improvements, process improvements, and cost reduction actions, and continue to seek opportunities. This is an important part of our culture and a job commitment of everyone at Eastman. And as we’ve announced in December, we have initiated additional actions to reduce labor related dollars, including elimination of overtime wherever possible, a significant reduction in contractors and part time labor, and a reduction of our management staff. When combined with the other actions that were taken or as completed, the total reduction in cost to 2009 will be $100 million. The immediate effect of these actions realized in the fourth quarter was a reduction in our labor related costs of 7% in the fourth quarter when compared to the third. What enables this timely response is a flexible labor structure that was implemented over the last several years to enable us to act quickly and with immediate results in response to any downturn in business conditions. We have a discipline – we have been disciplined in our financial approach, and that extends to our priorities for cash. I mentioned earlier that free cash flow is a focus for us. And we are committed to delivering positive free cash flow in 2009. First, we will continue to pay our dividends as we have for every quarter we have been a public company. And our current yield is about 6.5%. Coming into 2008, our US pension plans were fully funded as well as a majority of our defined benefit plans outside the US. In 2009, we expect our contributions to our pension plans to be at a very manageable $25 million to $50 million. And we have capital – we have prioritized our capital spending for 2009. Our baseline capital is $200 million to $250 million, and we will be managing to the low end of that range in the current environment. On top of that we are selectively funding our growth initiatives such as completing the construction of our Tritan copolyester facilities, finalizing feed efforts associated with our industrial gasification project, and completing projects to enable shut down of our crackers at Texas. For 2009, we expect capital expenditures to be in a range of $350 million to $400 million. And while we have other growth projects available to us, we recognize that we need to balance the expected benefits of such initiatives relative to the timing of the underlying market opportunity. So for example, our cellulose ester expansion for the electronic LCD display market is on hold until market demand improves. With all these factors in mind, again, we are committed to generating positive free cash flow in 2009. Eastman has a strong balance sheet, sufficient liquidity, and a history of financial discipline. Plus the actions we have taken provide us with a portfolio of businesses that are well positioned to recover with improved economic conditions. We are actively evaluating all options to create shareholder value from our strong balance sheet, both looking into and beyond the recession. This includes continuing work on our industrial gasification initiative, developing additional organic growth opportunities, and exploring merger and acquisition opportunities. Our approach to growth initiatives and creating shareholder value will remain disciplined. For example, a boundary condition to all our strategic endeavors is to maintain our BBB credit rating. We are committed to this rating as it is a good place for Eastman. It is with the position of financial strength that Eastman is not only able to consider opportunities that might present themselves in the marketplace, but also allows Eastman to continue to advance on attractive organic growth projects. Now I’ll turn it back to Brian to give you an update on some of these.
Brian Ferguson: Thanks, Curt. Your review of our financial position is a great lead into the discussion of our growth initiatives. These are growth initiatives that we are continuing in 2009. As Curt has told you, we are scaling back our capital expenditures due to the economy. However, we are moving forward in a few areas, the expansion of acetate tow, constructing the Tritan copolyesters, and pursuing the Beaumont industrial gasification project as they continue to be attractive despite the economy. Starting with acetate two, during the fourth quarter, we completed the expansion of our Workington acetate tow facility. The acetyl chemicals for the facility will come from Kingsport, meaning we will be integrated back to coal as a raw material. And this expansion will serve the growing market in Eastern Europe. About a month ago, we announced another acetate tow capacity expansion, this time through the acquisition of an 80% ownership interest in a joint venture with SK Chemicals in Korea. With this joint venture, we will expand what is currently a 12,000-met ton facility to 27,000-met tons. As with our Workington expansion, the acetyl chemicals will be supplied from our Kingsport facility. And we expect to see benefits of this expansion in our fibers results beginning in the second half of 2010. With these two expansions, Eastman will increase our global acetate tow capacity by more than 20%. And we will be well positioned to grow with our customers. Moving next to Tritan copolyester. As I’ve talked about before, Tritan has a number of unique product attributes, including high temperature and chemical resistance and the fact that it’s BPA free. As a result, demand continues to be very strong in areas such as housewares and infant care. Today in our semi-work [ph] facility, we are selling all we can make and we are actually making more than we thought we would. And so that’s strong demand. And continued market pool for new applications has encouraged us to increase capacity as quickly as possible. However, given the current economic environment, we have slowed down the pace of the project somewhat just to optimize the cost of construction. We expect the new capacity will be up and running in 2010, benefiting results in our specialty plastics segment. Turning next to our industrial gasification project in Beaumont. One of the fundamental beliefs we continue to hold is that there will be a significant spread between liquid and solid hydrocarbons for many years in the future. And that we can exploit that through industrial gasification. Because of a global recession and a consequent decline in demand for natural gas and oil, the spread has compressed in the near term, although it is still wide relative to historical norms. Looking out beyond this recession, we remain confident that all the economic and political trends support the continued expansion of this spread. We expect natural gas prices to rise from where they are today driven by the demands of new power generation, recovering industrial use, and the implementation of global climate change policies in the US and abroad. At the same time, we see petcoke prices declining from where they are today as petcoke supply increases and declining coal prices pressure petcoke. And so we continue working diligently to complete the milestones you see listed on this slide. The first is the front end engineering and design or FEED process, which we still expect to complete this summer after working to lower the costs as much as possible. Enhanced oil recovery, which has been practiced successfully for over 30 years in Texas continues to be our CO2 solution for the project. We continue to work on completing input and output contracts for the project. And we continue to work on financing. Now some of you may not be familiar with the Department of Energy Federal loan guarantee that we are pursuing for this project. That program was established in 2005 by the Energy Policy Act. We were chosen as one of the 16 finalists out of 143 applicants in 2007. Our full application was successfully submitted about two months ago. And a decision is expected in the second half of 2009. The due diligence requirements for this program are consistent with commercial project financing. And if successful, this would eliminate dependence on the commercial bank market. 2009 is a very important year for this project. And we will update you as we make progress on these milestones. So to summarize, certainly, the global recession is presenting near term challenges, and we are focused on (inaudible) them. We enter 2009 as well positioned financially as we have ever been. And we will continue to pursue attractive growth options in a very disciplined manner. With that, I’ll turn it back over to Greg.
Greg Riddle: Okay. Thanks. Rufus, we are ready for questions.
Operator: Thank you, sir. (Operator instructions) And we will pause for just a moment to assemble the question roster. And for our first question, we go to Jason Minor with Deutsche Bank.
Jason Minor – Deutsche Bank: Thank you. Good morning.
Brian Ferguson: Good Morning, Jason.
Jason Minor – Deutsche Bank: Firstly, I think when Curt last talked about raw materials headwinds, he described a 60 to 100, 80-day lag to see some of the benefits flow through. But given volumes, it sounds like that maybe extending. I just wondered if you could discuss where we are in that sort of thinking now. But if it were in fibers, where would you expect or when would you expect pressures on raw materials side at the east?
Brian Ferguson: Let me jump on the fibers one first, and then let Curt do the company as a whole, if I could. Because something unusual happened last year where the raws moved so much on us, with wood pulp and coal. The industry actually had a price increase during the year. It happened during the fourth quarter. So yes. The impact of having the raw materials for the full quarter, but the pricing only kicked in for a portion of the quarter. So you would expect that to even up here during the first quarter. And fibers overall is still such a strong business. And I think we reacted well to what we saw in the raw materials there. And I’ll let Curt–
Curt Espeland: Right. And Jason, what you’re seeing and some of the impact of the inventory turns, because really what we’re referring to there, was really the fourth quarter, which was were you saw demand coming up as well as we were running our plants to focus on our cash flows. If you look at how we’re starting the year, right now basically, our production is there to match demand. So you should see the inventory turns that you’d normally expect in our businesses as were matching the demand and production. Well, all that said, we’re probably going to run off most of these high cost inventory this quarter. There’ll be a little of a lag in some of the plastics, but most of it runs off this quarter.
Jason Minor – Deutsche Bank: That’s very helpful. Okay. Thank you. And just on raw materials and energy again, in the quarter, you mentioned about $25 million of headwind. How does that overlap perhaps with the $60 million plus of hedging loss? And maybe just to drill down a second in PCI, roughly, how much were those impacts in PCI in the quarter?
Curt Espeland: Sure. To answer that question. I think the $25 million excluded the hedging. So the headwind of the $25 million is on top of the hedging headwinds. If you look at the impact of the hedges in the fourth quarter, those are predominantly natural gas and propane. And I’d say two-thirds of the $60 million you saw on PCI and the rest of it, to a greater extent you saw in CASPI, was spread with the rest of the businesses.
Jason Minor – Deutsche Bank: That’s very helpful. And then the last question, on IntegRex. What kind of conditions in the PET market would you expect would create additional demand for licensing? It sounds like there’s a lot of pressure. And I know you’re low cost.
Brian Ferguson: Yes. This is an industry that’s got an unstable industry structure. As we look around, we see bankruptcies, we see significant restructurings. Lots of rumblings of people that are either operating at or below cash margins. And the technology provides an opportunity to go to a lower cost position. There are some people who are actually in a drop dead position where it’s actually advantageous to move to the new technology as opposed to where they are, especially in things like PTA. So yes, we continue some discussions there on the licensing. And I think a little bit of improvement in the business demand went also – people are little paralyzed, just generally, right now. So a little pick up in the business level would also be helpful from that standpoint.
Jason Minor – Deutsche Bank: Fair enough. Thank you very much.
Operator: For our next question, we go to PJ Juvekar with Citigroup.
PJ Juvekar – Citigroup: Yes. Hi. Good morning.
Brian Ferguson: Good morning, PJ.
PJ Juvekar – Citigroup: If I look at your portfolio, fibers are steady, CASPI is a decent business. We all know PCI is cyclical. And then in performance polymers, which is basically PET, you were holding out for hope for double digit margins with IntegRex and all that. But PET is PET. Can you really achieve that kind of – those kind of margins?
Brian Ferguson: Well, we believe we can achieve above cost of capital or we wouldn’t have invested. When I look back – and just to give you some reference points here. We had about two quarters last year, the second and third quarters on IntegRex. The first quarter was a startup quarter, fourth quarter was messed up. So second and third quarters. And I look at those quarters. Those were money making quarters for IntegRex. And that’s before we get a significant expansion and we also improved the quality. So do I worry about whether I’m going to get above cost of capital on the IntegRex investment? I mean no, I don’t. It’s going to be – it’s not going to be an investment where we have to apologize for. The other PET, obviously, is dragging everything down. Those are assets we have held for conversion to specialty plastics over time. But PJ, the flipside of the coin is, supposing I decided to unload or shutdown PET assets, I’d still have an intermediate engine that has to run. I have to move to PTA. So the question is, are you going to like moving PTA any better than you like moving PET. If you decide you don’t want to make the PTA, now you have an entire asset heal strain that starts to drag down. It’s integrate – entwined into the engines of our streams. And that’s the dilemma when people think about the question, “Why don’t you just sell PET or get rid of it? Wouldn’t that be better?” It’s a more complicated question than that.
PJ Juvekar – Citigroup: Okay. I got it. It has got the mass balance and energy balance.
Brian Ferguson: Yes. And you got to keep the engine running in the center. Otherwise, you start dragging down the coal, gas, and everything else because you’re not making PTA.
PJ Juvekar – Citigroup: Okay. And one question for Curt. Curt, you mentioned, I think, $25 million to $50 million pension funding next year, or I should say this year. Can you talk about what you’re P&L expense was for pension ’08 and what it would be in ’09?
Curt Espeland: The pension expense, I don’t have right at my fingertips, but you’ll that I think it’s $39 million through nine months. You can analyze that. As it relates to pension increases in 2008, 2009 over 2008, it will be $5 million to $10 million higher.
PJ Juvekar – Citigroup: Okay. And just one more quick question, I think, Brian, you mentioned M&A possibility. But over the last years, you basically sold these businesses. So with a strong balance sheet and cheaper valuation, what kind of assets you might look at? Thank you.
Brian Ferguson: Well first, before I turn this question over to the guy that’s going to be making those decisions. Let me point out that we do want to ride. The SK acquisition is an ideal situation. It’s going to create a lot of value. We’ve got a great bargain on that one because it’s a brown field in Asia, meaning that it’s cheaper than a green field in Asia. So we got a great cost position on that. So it’s not like we haven’t done it. But when we consider the future in M&A, I think I’ll turn it over to Jim and let him comment on that.
Jim Rogers: Yes. Thanks for the question, PJ. I mean first, before I even talk about M&A, let me assure everybody on the call, our number one priority right now is running the businesses, okay, and turning out the cash as best we can. I like the position I’m inheriting in that it is a strong balance sheet. The management team has been very disciplined. We haven’t been chasing acquisitions during the big boom years. So we’re not sitting here trying to explain why we’re trying to pay for something that looks so good a year ago, but now we’re suffering under. So you’re hearing the voice of experience here when it comes to acquisitions, and you have to be very prudent. But I understand the gist of your question. You’re looking for what is the opportunity. How do we take advantage of the fact that we had been so been disciplined and we got the cash on our books and we have the deck capacity? I would say that as we look in the future and the different uses for cash, everything’s going to be on the table. But I don’t feel compelled that we have to run out and do an acquisition just to show that we’ve got a strong balance sheet. It has to be something that really makes a lot of sense. I like what we’re doing in the fibers business with SK. That’s the kind of thing that just – very, very high probability that you’re going to like the return on that. And so I would think you’ll see us be conservative. But we’re aware that shareholders want us to give them a reason to ride with us when we come out of this recession. And we’re going to be looking for everywhere we can to create value with our balance sheet.
Operator: Any further questions, sir?
PJ Juvekar – Citigroup: No. Thank you very much.
Operator: And for our next question, we go to Mike Judd with Greenwich Consultants.
Mike Judd – Greenwich Consultants: Yes. Good morning. Is there any off balance sheet debt that’s not included in those net debt numbers?
Curt Espeland: We do have accounts receivables securitization program and $200 million. That’s still available to us and is fully drawn at the end of the year.
Mike Judd – Greenwich Consultants: Okay. All right. Fair enough. Going back to this issue of the lag in the push through of lower raw material costs. Given the overall operating rates of the year anticipating in the March quarter, where would you expect – and I realize the visibility is well here, but where would you expect to begin to realize some benefits from that? Because it’s just difficult from our perspective to know what you’re exact US LIFO inventories look like from the raw material perspective.
Brian Ferguson: Yes. We’re going to run off the high cost raw materials this quarter – the vast majority, we’re going to run off this quarter. The slow returns we have are in the specialty plastics area, and that may lag a little while longer. But many of them are running off in the middle of February, some of them are waiting until the end of March. Mostly, the raw material effect that we talked about is running off this quarter.
Mike Judd – Greenwich Consultants: Okay. And lastly, in fibers, again given the – it looks like a lot of that goes into China. What are some of the dynamics at least in January that you’ve seen there. Is it just a continuation of what you saw in December? Or is there – what do you anticipate there at least in the near term?
Brian Ferguson: The fibers business is going to run flat out on nec [ph] and tow in 2009. This is a business that, well, did not do better than 2008 this year. But it’s not going to be meaningfully worse than 2008 this year either. You should not – my point is, you should not be trying to annualize the fourth quarter to look at fibers. We’ve always used the word “chunky” on fibers. The fourth quarter would fit the definition of chunky by any measure. The demand for tow remains strong globally and continues to grow faster elsewhere in the world as it declines in North America. So we’re not worried about (inaudible) for tow demand at all.
Mike Judd – Greenwich Consultants: The Chinese New Year just passed. I realized that that was really just a very recent occurrence, only a week ago. But what should – what are you looking to in that business as an indication of central pick up or inventory re-stocking, or whatever?
Brian Ferguson: Everyone has been anticipating that there would be a resurgence of demand from Asia following the Chinese New Year. And it has just concluded, as you said. And yes, there are some early indications that demand is starting to pick up. I think I’ve said in the comments, we don’t have great visibility. We believe February is going to have a higher operating factor than January. We believe that based on looking at one or two weeks’ worth of data that could change at the end of February. We don’t know. And I’ve never – I’ve never seen a March that was worse than a January. I got to tell you, March is usually better. So I would expect some improving demand through this quarter. And that’s why we said we think this quarter has a low 70s kind of an operating factor as opposed to the 66 and four. So we were counting on some of the Asian demand in that math. Early indications are it’s going to – it’s starting to happen, but it’s just too early to call.
Mike Judd – Greenwich Consultants: Fair enough. Thanks for the help.
Operator: We go next to Jeffrey Zekauskas with J.P. Morgan.
Jeffrey Zekauskas – J.P. Morgan: Hi. Good morning.
Brian Ferguson: Good morning, Jeff.
Jeffrey Zekauskas – J.P. Morgan: Did you say earlier in the call that settlement of your hedges cost you about $60 million in the quarter?
Curt Espeland: That’s correct.
Jeffrey Zekauskas – J.P. Morgan: So if that’s the case, why shouldn’t the first quarter earnings be, I don’t know, $0.60 a share higher than the fourth quarter earnings because you don’t have the hedge off of?
Curt Espeland: Yes. That’s a good question. Really what you’re seeing the dynamic occur is a couple of things, one is, during the fourth quarter, raw materials did come up and come down lower. So you actually generated a – and as a North America producer, you generated a LIFO benefit of that. And in essence, that hedge, to a greater extent, offset that LIFO impact.
Brian Ferguson: Another way to think about this, Jeff, we had the – had the extra hedges. If the hedges hadn’t been in placed in the fourth quarter, we wouldn’t been able to take advantage of the discontinuity of falling raws with prices still high. Unfortunately, the prices have had a chance to equilibrate to the new raw material positions. So we lost our shot.
Jeffrey Zekauskas – J.P. Morgan: Okay. That’s helpful. Second, if I understood your commentary, you’d be increasing your tow capacity by about 20% over the next couple of years. But the tow market probably grows at, I don’t know, 1% or 2%. Why have so much capacity relative to that rate of global growth?
Brian Ferguson: Well, about 20,000 tons of that is a share shipping from somebody else to us. It’s not all new tow. We’re talking about our capacity growing much, but necessarily the world capacity growing that much.
Jim Rogers: I was going to say SK had some capacity, and all we’re doing is taking those existing assets and moving them to another part of the country. And now, we own 80% of that. So that 20% is a combination of the European expansion, which is for Eastern Europe, which is growing as well as us taking a bigger presence in Asia, which of course is the big growth market. And just like Brian said, it’s not an additional – all those tons aren’t even a market.
Jeffrey Zekauskas – J.P. Morgan: Okay. And then lastly, on the Beaumont project. When I guess I look at some of the industrial gas companies that are always involved in very capital intensive projects, what they have are take-or-pay features to them or they have various ways that they normalize the returns or generate a steady return on capital with the potential for upside. And those are relatively large companies compared to Eastman. And when we look at what’s happened in the volatility of energy prices over the past couple of years, the volatility has been much greater than people might have imagined. And so when you think of investing a very large amount of money relative to the size of Eastman in the midst of all this volatility, are there ways that you feel that you can regularize your returns? Or do you just have to get your ideas about these spreads ride over a longer period of time and they’re essentially unhedged?
Brian Ferguson: That’s a great question. What you see us trying to do is to replicate the business on what is used by the bigger companies. We’re daisy chaining the take-or-pay aspects of this in a couple of ways. And then on top of that, we lay in hedges as part of the financial structure to lock in some of the inputs. So this would look more like a utility company play where they lock in natural gas and electricity on both ends. I serve on a utility Board, and I’m always amazed that they can lock in gross margins a year or two in advance because they do forwards and options on both the inputs and the outputs that they are involved with. It’s the same kind of methodology that we’re pursuing here. If you think about what’s required for project financing, you have to have guaranteed margin to pull that off. And so we would not be able to qualify for project financing if we did not lock in those margins, Jeff.
Jeffrey Zekauskas – J.P. Morgan: Okay. Thank you very much.
Operator: For our next question, we go to Jeffrey McCarthy with Bank of America and Merrill Lynch.
Jeffrey McCarthy – Bank of America and Merrill Lynch: Yes. Good morning.
Brian Ferguson: Good morning.
Jeffrey McCarthy – Bank of America and Merrill Lynch: Just to clarify on the commodity hedges. If propane and natural gas stayed where they are today, what would be the impact, if any, of the hedges in the first quarter of ’09?
Curt Espeland: We still have an active hedging program. But at the start of the year, we have no forwards outstanding on any commodity hedges. So if anything, we might have a few options to try to help protect the floor. But it all comes down to how our pricing responds to the impact of the new raw materials.
Jeffrey McCarthy – Bank of America and Merrill Lynch: Great. And then, as you – as prices decline in 4Q and you liquidated inventory at lower prices as the quarter progressed, is it possible to quantify the effect of that across the company in the quarter?
Curt Espeland: That’s hard for me to differentiate that factor versus all the factors that you had. I mean there is this tremendous margin pressure when you put all the factors together.
Brian Ferguson: The look back is – we could do it, but I’m not sure to be instructive. I think maybe where you’re getting at is, where do you start to breakeven and make money? You don’t make money at 50%. Obviously, we operated around 65% in the fourth quarter, and we just about broke even. So the math tells you that when you start heading north of that, we start to make money. I’d indicated that we’re going to start to head north of that this quarter, but we don’t know how much north of that. So that’s the kind of math you’re probably trying to get to.
Jeffrey McCarthy – Bank of America and Merrill Lynch: Fair enough. Then a question on the Workington and Korea expansions, you mentioned you’d be exporting coal based chemicals from Kingsport, presumably anhydride. Gas looks like it’s $4.5 at the moment. Is there a price at which you may in the future decide to discontinue export and shift sourcing to local vendors?
Brian Ferguson: It’s not actually anhydride, it’s acetate flake that we ship. And it’s from here in Kingsport where we’re starting from coal.
Jeffrey McCarthy – Bank of America and Merrill Lynch: Okay.
Brian Ferguson: It’s very advantaged for us to serve all these sites – both these sites from Kingsport. And I think it’s highly unlikely that we do something else.
Jeffrey McCarthy – Bank of America and Merrill Lynch: Great. A final quick one, if I may, what is your outlook for PET demand in 2009 recognizing that visibility is low and used markets in food and beverage. You would think by hanging reasonably well by now, there’s been waiting of other factors going on.
Brian Ferguson: So are you asking for the PET demand or–?
Jeffrey McCarthy – Bank of America and Merrill Lynch: Yes. Do you think it goes back to a positive number?
Brian Ferguson: Yes, I do. I mean it’s – yes, I do. I think more importantly, since we’re – we have maybe two-thirds of our capacity at the lowest point in the cost curve, we’re going to be running flat out on that. So our problem ultimately – it has been an issue of volume demand. But ultimately it’s not going to be volume demand for us, it’s going to be about spread. And we’ve got the best cost position than anybody can hope to have right now, so. The PET question for the year probably won’t be volume driven. It will be what is the industry structure looking like. How desperately is it weaving? And is there enough spread to get where we need to be?
Jeffrey McCarthy – Bank of America and Merrill Lynch: Thank you very much.
Operator: We go next to Chris Willis of Impala.
Chris Willis – Impala: Hi. Good morning. I just have a follow up question on fibers. I mean how much of the delta in terms of the decline in the fourth quarter is related to the acetate tow versus the other products in there? Was it a mix issue or cost issue? Can you just flesh out a little detail there please?
Brian Ferguson: Yes. Think about it in two buckets, Chris. Apart from tow, we have acetate yarn as well, which is something we like to run and it helps absorb costs. And typically, honestly, a breakeven business, now it’s a little positive and now it’s a little negative. This quarter, just given what’s happened to apparel, that’s another portion of the stream that ran less than 40% utilization on our yarn business. So that was a chunk of – when we talk chunky, that’s one of the chunks that brought it down from its normal run rate. The other was this lag between wood pulp and coal going up, and us giving the price increases only for a portion of the quarter.
Chris Willis – Impala: All right. Thank you.
Operator: We go next to Frank Mitsch with BB&T Capital.
Frank Mitsch – BB&T Capital: Good morning, gentlemen. Just a follow up on that, so from you’re perspective, when you look at fibers chunky. They’re chunky bad. This was one of the chunky bad ones. And you don’t have any causes for concern that volumes down 10% is going to play itself out in ’09?
Curt Espeland: Hey, Frank. Absolutely not. In fact, in a way, I’m a little surprised at all the attention for fibers. I thought I was just going to get to sit in on this call. I don’t think I’d answer all these stuff. I mean, if you look across Eastman, fibers is a business you should least be concerned about. If you look across the industry, I could probably say pretty much the same thing. Fibers remained a great business. You heard the main driver, the tow, is going to run flat out as it’s been doing. And we’re expanding. That’s just a good story overall. So we’ll see what happens in the apparel world. See how well we can manage our cost around yarn. We caught up when it comes to price versus the raws. I mean we’ll see where they go from here. But that one looks good. And as Brian was trying to ballpark it for you, it’s just a little – the expectations are just a little less than what it did this year. But it certainly has the $2 in front of it. It’s probably close to – it’s between the $2.20-ish to $2.30-ish, I guess, if you really want to hone in on it.
Frank Mitsch – BB&T Capital: I will. Yes. I know that on the acetate, you’re implying that the casket linings is a dying business. So that’s I think is a part of the issue that we have there. I think you talked earlier about some cost cutting initiatives in 2009, a $100 million. Can you talk a little bit of more about the timing of that and how you anticipate that impacting your income statement?
Brian Ferguson: The effect of the cost cutting was almost immediate. You notice you don’t see any restructuring charges. We dialed the labor knob back. And it’s almost instantaneous. I think Curt told you that the fourth quarter labor was down 7% compared to the third quarter. That’s how quickly we dialed it down. We can do more if we need to. Curt said a couple of times, we’re managing for cash. We want to be self funding. We don’t want to unnecessarily rely on the banks to be there for us because they’re not acting like they’re always going to be everywhere for everybody. So we look at the cash that it takes to sustain us and is going to sustain our CapEx, sustain our dividends, sustain our interest in pension issues. And if we need to do more on that, we can. But the effects are already immediate. We don’t have to wait for them to kick in.
Frank Mitsch – BB&T Capital: All right. Terrific. And I think you mentioned earlier that you do see Asia getting better at this point here in the fourth quarter. And you obviously are calling for higher operating rates due to seasonal pick up. Can you talk a little bit about what you’re seeing in North America and Europe?
Brian Ferguson: It’s picking up slowly across the board. It’s interesting. When we look at the declines, we thought we’d see some differences in the declines between North America, Europe, Asia, et cetera. And they all declined between 18% and 20%. They all kind of declined together at a similar – in a similar way. The pick ups are coming across the board. It’s really – the data is so limited right now. It’s hard for me to give you good – really good grounded estimates on that, Frank. But so far it looks like across the board.
Frank Mitsch – BB&T Capital: All right. Thanks, Brian. Thanks, guys.
Operator: For our next question, we go to Sergey Vasnetsov with Barclays Capital.
Sergey Vasnetsov – Barclays Capital: Good morning. It is encouraging, and I’ll say, you’re looking to get government financing – could become available. And I’m certainly glad that your government still has some money left after this issue of automotive and housing, and banking.
Brian Ferguson: Yes. We hope.
Sergey Vasnetsov – Barclays Capital: Yes. Question is, Brian, if you are successful in getting the government money as a grant or a loan, can you talk in general terms what the conditions, the amount, the interest rate, the ration, recourse and not recourse placement, and other important conditions?
Brian Ferguson: We’ll be talking more about that as it develops. But these are obviously advantaged interest rates. They come in the form of Federal loan guarantees. So you have a kind of a three party arrangement on that. This is long term financing. This is not bridge financing. So it goes for a long period of time. And it’s not like – this is not like being a government contract where we have all these reporting requirements that go along with it. This is just more or less a financial deal. It just has some guarantees that come along with it. Curt, you’ve got–?
Curt Espeland: Yes. Sergey, the way to think of it is – especially compared to the current credit market. Obviously, as we mentioned, it still has to have the same cash flows to support a financiable [ph] project. And we continue to expect that to be on a non-recourse basis. The advantage of the Federal loan guarantee program would have is against current conditions, one is you could borrow with the Federal Funds Bank, which will have much more advantaged interest rate; and potentially, it could do at a better leverage and better terms than you might commercially. A very attractive program.
Sergey Vasnetsov – Barclays Capital: Okay. Good to hear. When do you expect to see some further meaningful updates on this loan and from the project?
Brian Ferguson: Middle of next year. And closing would be later, but middle is – I’m assuming middle of this year. It is this year, middle of 2009. And then closing, probably, about a year from now.
Sergey Vasnetsov – Barclays Capital: Okay. Thank you, and good luck.
Operator: For our next question, we go to Andrew Feinman with Iridian.
Andrew Feinman – Iridian: Thank you. First of all, I just want to tell Curt that I’m thrilled with the networking capital job he did in the fourth quarter, and how much you turned into cash. And then I also just wanted to commend you guys at making the tough decision, and finally telling us the answer to what capital spending would be for this year. And dropping it down $350 million to $400 million from $644 million is not something I know you were happy. But I think it’s a reason to still own the stock. You can carry a lot of cash this year and I’m thrilled about that. The question I had was if you could just tell me the depreciation and amortization you guys see for 2009.
Brian Ferguson: Andy, I’d expect depreciation and amortization to be at or slightly better – slightly higher than we saw in 2008. We had a little bit of accelerated depreciation in 2008. That’s now behind us. So we’ve normalized that out. But obviously slightly higher just because of the higher capital spend.
Andrew Feinman – Iridian: Well if you normalize that out, it would be around $260 million.
Brian Ferguson: That’s putting it in the–
Curt Espeland: $250 million, $260 million, yes.
Andrew Feinman – Iridian: Thank you.
Operator: And ladies and gentlemen, this does conclude our question-and-answer session. Therefore, Mr. Riddle, I’ll turn the conference back over to you for any closing remarks.
Greg Riddle: Okay. Thanks, Rufus. And again, thank you everyone for joining us this morning. The replay of this conference call will be available this afternoon through Friday, February 6. Have a great day.
Operator: And again, ladies and gentlemen, this does conclude the Eastman Chemical Company fourth quarter earnings conference call. We do appreciate your participation, and you may disconnect at this time.